Operator: Good day, and thank you for standing by. Welcome to CONMED's First Quarter Fiscal 2025 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. Before the conference call begins, let me remind you that during this call, management will be making comments and statements regarding its financial outlook, its plans and objectives. These statements represent the forward-looking statements that involve risks and uncertainties as those terms are defined under the federal securities laws. Investors are cautioned that any such forward-looking statements are not guarantees of future events, performance or results. The company's actual results may differ materially from its current expectations. Please refer to the risks and other uncertainties disclosed under the forward-looking information in today's press release as well as the company's SEC filings for more details on the risks and uncertainties that may cause actual results to differ materially. The company disclaims any obligation to update any forward-looking statements that may be discussed during this call, except as may be required by applicable law. You will also hear management refer to non-GAAP or adjusted measurements during this discussion. While these figures are not a substitute for GAAP measurements, management uses these figures to aid in monitoring the company's ongoing financial performance from quarter-to-quarter and year-to-year on a regular basis and for benchmarking against other medical technology companies. Adjusted net income and adjusted earnings per share measure the income of the company, excluding credits. Or charges that are considered by the company to be special or outside of its normal ongoing operations. These adjusting items are specified in the reconciliation supporting the company's earnings releases posted to the company's website. With these required announcements completed, I will turn the call over to Pat Beyer, President and Chief Executive Officer for opening remarks. Mr. Beyer?
Pat Beyer: Thank you, Latif. And those attending, I want to thank you for the staying on. We had a little technical issue and we had to log off and come back on. I want to thank you for joining us. Good afternoon and thank you for joining us for CONMED's first quarter 2025 earnings call. With me on the call is Todd Garner, Executive Vice President and Chief Financial Officer. I'll provide a brief overview of the financial and operating performance for the first quarter. Todd will then provide a more detailed analysis of our financial performance and guidance as well as our updated view on the impact of tariffs. We will then open the call to your questions. I'll start by quickly reviewing our first quarter results. Total sales for the quarter were $321.3 million, representing a year-over-year increase of 2.9% as reported and 3.8% in constant currency, a little better than our guidance. While we have more work left to do with our supply chain initiatives, we are pleased that we are starting the year consistent with our full-year growth expectations. From an earnings perspective, excluding special items that affected comparability, our adjusted net income of $29.6 million increased 19.6% year-over-year and our adjusted diluted net earnings per share of $0.95 increased 20.1% year-over-year. First quarter sales growth was balanced across our segments with constant currency sales growth of 3.9% in orthopedics and 3.8% in general surgery. Performance in orthopedics was led by double-digit sales growth in our foot and ankle products as well as strong demand for BioBrace. We are excited about the outlook for BioBrace, our highly differentiated product for soft tissue repair and sports medicine. BioBrace is being used clinically in over 50 procedures from the rotator cuff to the ACL and into the Achilles. We have 14 peer reviewed publications already in print and we have nine clinical studies underway. We have a large randomized prospective clinical study with 268 patients and we look to have this study enrollment completed in 2026 with publication in 2027. Also on the good news front, in early April, we received FDA clearance for our new delivery device for BioBrace rotator cuff repair. We believe this will make the procedure easier and faster for surgeons. General surgery continues to be led by AirSeal and smoke evacuation, both seeing double-digit demand in quarter one. We continue to believe in the importance of clinical insufflation provided by AirSeal in robotic surgery and laparoscopy, which is particularly important for longer and more complex procedures. Physicians are continuing to choose AirSeal to prioritize patient care as AirSeal has been clinically proven to reduce both length of stay and post-operative pain for patients. We are working on a way to help investors understand the AirSeal attachment rate to DV5 compared to Xi and compared to non-robotic procedures. There are multiple uses within the hospital and there is no practical method to determine where a product is used after the sale. The hospital could be using the capital or the disposables in all three modalities, which ties to the broad clinical benefit in both laparoscopy and robotic surgery. We do though sell one SKU that is only used in conjunction with robotic procedures and that SKU grew in the healthy double-digits in quarter one. Turning to our supply chain initiatives, we have made progress here. Number of SKUs on back order are declining. We're seeing early progress, but we are not where we need to be yet. We continue to believe we should be in a better position by the end of the year. I'm excited about our long-term future. We have a significant tailwind from mix at our back with strong growth drivers and the opportunity to turn our supply chain operations into an area of strength for the company is well within our control. Of course, we would acknowledge that the near-term macroeconomic and policy backdrop creates some uncertainty for our customers. However, demand for our products remains strong. We think this is a function of the healthy end markets in which we operate and our clinically differentiated products. We are closely tracking the spending pattern of our customers, but have not seen any material changes to date as hospital systems appear to be prioritizing areas that are key to our business, including our high growth focus areas of minimally invasive surgery in the areas of laparoscopy and arthroscopy, which tend to not be as reliant on large capital purchases. Within these two categories, we have four very unique platforms that are still in the early stages of their growth trajectories. These four platforms are surrounded by a portfolio of products that have been developed hand-in-hand with physicians over time with the goal of supporting ease of use and improved patient outcomes. I'm excited about the opportunities that lie ahead for this portfolio, particularly AirSeal, Buffalo Filter, BioBrace and CONMED Foot & Ankle, especially as we begin to see the effects of the improvements to our supply chain operations over the coming quarters. With that, I'll turn the call over to Todd, who will provide a more detailed analysis of our financial performance and discuss our 2025 financial guidance as well as quantifying our latest thinking on tariffs. Todd?
Todd Garner: Thank you, Pat. All sales growth numbers I referenced today will be given in constant currency, a reconciliation to GAAP numbers is included in our press release. As usual, we have included an investor deck on our website that summarizes the results of the quarter and our financial guidance. As a reminder, we had one less sales day in Q1 compared to the prior year, which we estimate to be worth between 100 basis points and 150 basis points of growth. For the first quarter of 2025, our total sales increased 3.8% year-over-year. For Q1, our sales in the U.S. increased 4.2% versus the prior year quarter and our international sales grew 3.4%. Total worldwide Orthopedics sales grew 3.9% in the first quarter. In the U.S., Orthopedic sales decreased 2.1% and internationally Orthopedics sales increased 7.9%. While supply challenges in parts of our Orthopedics business drove the underperformance in the U.S., we were pleased to see another quarter of double-digit growth in Foot & Ankle. Total worldwide General Surgery sales increased 3.8% in the quarter. U.S. General Surgery sales grew 6.9%, while internationally, General Surgery sales decreased 3.3%. The decline internationally was due to our energy and critical care product lines. Now let's move to the expense side of the income statement. We will discuss expenses and profitability in the first quarter, excluding special items, which are detailed in our press release. Adjusted gross margin for the first quarter was 56.4%, which is 80 basis points higher than the prior year quarter. This was a little stronger than we expected given the mix of the sales in Q1. We're encouraged by the opportunities to improve the supply chain operations that are being identified in conjunction with our external consultants, and we expect at least $20 million of annual savings to come out of this effort. However, those benefits won't really materialize until calendar 2026 as our manufacturing variances are deferred into inventory and get recognized as that inventory is sold. We now have increased visibility into how margins could play out for the rest of the year. We expect margins in Q2 to be in the mid-56% range, Q3 in the mid-55s and Q4 approaching 57%. That all adds up to margins being relatively flat versus 2024 for the full-year, consistent with what we estimated at the beginning of the year. The currency impact has improved by about 20 basis points in the last three months, but the timing of the savings from the operational improvements are a little slower to materialize than anticipated. Research and development expense for the first quarter was 4.0% of sales, 40 basis points lower than the prior year quarter. First quarter adjusted SG&A expenses were 38.7% of sales, consistent with the prior year as expected. On an adjusted basis, interest expense was $6.8 million in the first quarter. The adjusted effective tax rate in Q1 was 23.1%. First quarter GAAP net income was $6.0 million compared to $19.7 million in 2024. GAAP earnings per diluted share were $0.19 this quarter compared to $0.63 a year ago. Excluding the impact of special items discussed earlier, in the first quarter, we reported adjusted net income of $29.6 million, an increase of 19.6% compared to the first quarter of 2024. Our Q1 adjusted diluted net earnings per share were $0.95, an increase of 20.1% compared to the prior year quarter. Turning to the balance sheet. Our cash balance at March 31st was $35.5 million compared to $24.5 million at December 31. Accounts receivable days as of March 31st were 62 days, no change from the end of 2024. Inventory days at March 31 were 222 compared to 211 at December 31 as we go through the process of improving the supply chain. Long-term debt at the end of the quarter was $891.4 million versus $905.1 million as of December 31st. Our leverage ratio on March 31st was 3.2 times, which was a little better than expected. Cash flow provided from operations in the quarter was $41.5 million compared to $29.1 million in the first quarter of 2024. Our cash flow remains very strong. Capital expenditures in the first quarter were $3.8 million compared to $2.0 million a year ago. Now let's turn to financial guidance. I'm going to talk about guidance without tariffs first and then detail how we're estimating the tariff impact, so you can have both pieces as we expect the environment may continue to be dynamic. So excluding tariffs for now, let's start with revenue. While Q1 came in a little better than we expected, it does not change our view of the constant currency growth for the year. So we continue to expect the year to be between 4% and 6% constant currency growth. Our projected FX impact did ease by about 50 basis points for the year, going from what had been a headwind of 100 basis points to 120 basis points to a headwind of 50 basis points to 70 basis points. That takes our full-year guidance up from a range of $1.344 billion to $1.372 billion to a slightly higher range of $1.35 billion to $1.378 billion. We expect reported revenue in Q2 to be between $335 million and $340 million. Our adjusted EPS guidance, excluding tariffs for the full-year is increasing from a prior range of $4.25 to $4.40 to a new higher range of $4.45 to $4.60. That reflects the beat in Q1 as well as an improvement in FX of about $0.05 on the year. We started the year with an estimate of currency headwind of approximately $0.15 to $0.20. We now expect that headwind to be between $0.10 and $0.15. We expect Q2 adjusted EPS to be between $1.10 and $1.15. Now let's talk about tariffs. The good news since our last call is that it has become clear that product coming from our plant in Mexico will be exempt from tariffs as we are USMCA compliant. Our disclosure today is based on a 145% tariff on products coming from China, 25% from Canada and 10% on products from Europe and the rest of the world. Using those percentages, we estimate approximately $5.5 million of supply chain exposure in 2025. 85% of that is from China, 12% is from Europe. This computes to approximately $0.14 of EPS with $0.02 hitting Q3 and $0.12 hitting Q4. We have added a slide in our investor deck that shows our adjusted EPS guidance without tariffs and then with this estimate of tariff exposure. So in a very dynamic environment, we started the year consistent with our revenue guidance and delivering better on the bottom line. We remain focused on the operational improvements we need to move fully on offense in all parts of our business. With that, we'd like to open the call to your questions, and I'll hand it back to Latif.
Operator: [Operator Instructions] Our first question comes from the line of Matt O'Brien of Piper Sandler. Please go ahead, Matt.
Phil Soran: Hi, thanks for taking our questions. This is Phil on for Matt. Starting with guidance, it looks like you beat this quarter by just over $7 million versus the Street and you're raising full-year guidance by less than that, especially if you factor in that improvement on the FX side of things. Can you help us understand the shifting perspective on the remaining three quarters as it relates to the top line? And any softness that you're seeing in hospital budgets, that sort of thing? Thank you.
Todd Garner: Yes. Thanks for the question, Phil. No softness that we're worried about. We guided the year to be 4% to 6% constant currency. If you do - days adjusted, we're well right in the middle of that range, a little - maybe a little better than the middle of that range for Q1. So that's where we expect the year to be. We're not going to get ahead of ourselves after Q1 and change how we see the year. So that was the thought in guidance. We did - so basically, we took the year up for the currency improvement and that's it. We left the operational the same.
Phil Soran: That's helpful. And then one final one for Pat. Really just trying to get a good state of the Union at this point, understanding you've only been CEO for a short while, but what has surprised you maybe both good and bad at this point? Thank you so much.
Pat Beyer: Thanks. And fair question. On the bad side, quite honestly, I've been here 10 years before I took over the CEO job and nothing has surprised me on the bad side. On the good side, I've been a continual positive passion from the CONMED team, I've been really pleased and astounded by the commitment to delivering on world class products and clinical solutions. And I've spent a fair amount of time with customers in quarter one and the embracing that they have on our technology has been really pleasing. And so that's probably been the most positive surprise, the passion from the team and the passion from the customers we serve.
Operator: Thank you. Our next question comes from the line of Robbie Marcus of JPMorgan. Your line is open, Robbie.
Robbie Marcus: Oh, great. Thanks for taking the questions and congrats on a good quarter here. Two for me. Todd, first on tariffs, hard to avoid it here. I just wanted - hopefully you could help us reconcile the math you gave us from last call and this call. I think China was something like 250,000 a month impact at a 10% tariff rate. So to me, it would be a little more than the implied annualized rate here than you're coming up with at $145,000. And part of the tariff question, help us understand some of the mitigation efforts you can - start to put in place because it's not so much the $0.02 in third quarter, it's the $0.12 in fourth quarter that annualizes into next year and how we should think about any offsets you can put into place in the run rate into next year? Thanks.
Todd Garner: Sure. Thanks, Robbie. Yes, of course, the great news from the last call is that the lion's share of the numbers we talked about last time we're from Mexico and that has turned into not - does not look like it should be an issue for us at all. So we're left with the China number. And as you say, the rates are much higher, but it's also become clearer on how that will flow through, right? So that will flow through with our inventory. So while the rates are higher, less of it will hit 2025 than previously estimated. So we'll have to see where that lands. Pretty good news out of China last week with China saying that they intend to exempt medical devices products into China. So hopefully there is a - there's more rational conversations that happen going forward. But so our new updated numbers for 2025 are as I showed them today, and then mitigation efforts. The first thing is we can pretty quickly stop the practice of shipping everything into the U.S. and then out to the world from our Atlanta distribution center. So the first and easiest thing is kind of those the logistics of shipping products around the world. We can avoid the U.S. for the products that don't need to come to the U.S. so that's the quickest and easiest. And there's also obviously price mitigation that you can consider if we're in the same boat as everybody else in a certain country, that gets easier. If for some reason CONMED is an outlier, that gets harder, of course. When you think - when you talk about changing vendors or changing where you make something, I think everybody on the call should understand in a regulated industry under the FDA, none of that happens really quickly. And of course, that can affect labeling changes and multiple other things. And so those would be slower, but still mitigation is available to us. And then the last thing I would say is kind of accounting and transfer price approaches. The construct of how things are done were based on previous rules and previous conventions and kind of how things and market rates. And once we have a stable set of ground rules going forward, you could relook at how some of that - how many of - how some of that is recorded and tracked and reported. And so that's kind of the list of things we're looking at to mitigate tariff exposure.
Operator: Thank you. Our next question comes from the line of Rick Wise of Stifel. Your question please, Rick.
Rick Wise: Thank you. Good afternoon, Pat. Hi, Todd. Maybe you could expand a little more on your supply chain improvement initiatives. I think, Todd, you or Pat said you expect further improvement coming quarters. Maybe help us understand maybe in a little more detail, where are you? What's happening? What kind of impact, where will we see it? And maybe in particular, update us on where things stand with BioBrace?
Pat Beyer: Hi, Rick. Thanks for the question. So as we think about the supply chain, I want you to think about a couple of things, first of all. We're improving our supply chain for stability and for continuity going forward and the ability to grow this business sequentially in the future. There's really three areas we're focused on right now. Number one, it's the procurement and the supply and that relationship with our suppliers. Number two, it's the planning of that production. And number three, it's the production. And those three things dynamically connect and that's our focus today. And it's just not as robust as we would like it to be. A lot of work is going on in that. We've announced and we've told the outside world, we're working with a first class consulting company to help us on that. We've made progress. Our focus in the early days is our implant products to help surgeons get back and using our implants for procedures that they want to use them in. We've made good progress there. A number of our key portfolios are actually off of backorder. And we're able to go on offense on those in quarter one, which is great news there. Rick, what was the other question you had there?
Rick Wise: Bio Brace.
Pat Beyer: Yes. BioBrace - Rick, we had a really quarter and I alluded to it in the my script there. We passed the 51 mark in clinical procedures, we're up to 52 now. We had our application device for rotator cuff repair, got 510 approved in early April, which is a significant move for us. We believe that will make the procedure easier and more predictable for the surgeons, and early feedback has been really good. We've been in procedures already and our prospective randomized clinical study with 268 patients continues to advance and we're over the halfway market enrollment. So we feel really good about BioBrace, Rick.
Operator: Thank you. Our next question comes from the line of Young Li of Jefferies. Please go ahead, Young.
Young Li: Hi, guys. Thanks for taking our questions. I guess maybe to start for Pat. I think on the last call, you mentioned doing a deep dive of the portfolio for like the next decade. Where are you with that process? And when can we hear more about the potential changes you'll implement with the portfolio? And can you share any of the early findings so far? Understanding you probably got distracted with the tariff stuff?
Pat Beyer: Yes, Young, thanks for the question. So I'm four months into CEO role, first four months on spending an incredible amount of time with three constituents. Number one, our shareholders have had spent good time at analyst meetings with shareholders talking to them about CONMED. Number two, a lot of time with Team CONMED employees, both from the factory floor to our sales forces, to our marketing people, understanding who we are and who we should be. And number three, maybe most importantly, customers. And I've spent time in quarter one in the operating room talking to customers, understanding why they use us and what they like to use from us. And what I can tell you is our four growth drivers are strong. BioBrace, Foot & Ankle, AirSeal and Smoke. Those portfolios around those, we're continuing to dive into and look at what should they be. It's early days on that. I expect to spend more time on that. What I'm pleased with is our growth drivers have durability there. And I've been really pleased to see what the internal teams are driving around those and what our customers think of them.
Young Li: Great. Very helpful. And then I guess for the follow-up, wanted to ask a little bit about capital trends at AirSeal. It looks like capital is down 5% in the quarter, U.S. down 10%. Wondering if you can maybe put that number - those numbers in context for us, how much of that's driven by AirSeal? And now that there's around 500 DV5s in the U.S. and 5% of the overall installed base worldwide. I guess I'm just kind of wondering, are you seeing any differences in terms of utilization or ordering patterns for DV5 accounts versus non-DV5 accounts?
Pat Beyer: Young, why don't I take the AirSeal one and Todd will take the capital piece. On the AirSeal side, you're right. So our intuitive release there is a week ago, 505 total units in the market, 146 increase. Our attachment rate and when I say attachment rate, I mean the AirSeals that are operating on the DV5s continue to be there. It's still early days and we can't be definitive about a percentage, but we still have DV5 units going in the field where surgeons are saying, I have a complicated procedures and I want to use AirSeal in clinical insufflation. So from a percentage of application, we don't know right now, but we are seeing continued adoption. And the other thing I would call out is we have one SKU that is only used on da Vinci robots and that SKU grew double-digits in quarter one.
Todd Garner: Yes. On the capital side, Young, from our perspective, there's no real change in the customers' appetite. I'll remind everybody that our capital is on the low end of capital expenditures that hospitals deal with. There is a little noise in the comps. The Q1 is specifically in the U.S. was double-digits last year. So there might be a little noise in the comp, but we don't really see any flags or alarms on capital demand for our types of products.
Operator: Thank you. Our next question comes from the line of Travis Steed of Bank of America. Please go ahead, Travis.
Travis Steed: Hi, thanks for taking the question. Todd, I wanted to follow-up on the tariff and kind of tie it together to what you disclosed last quarter. I think last quarter, you gave us some helpful numbers on China. And so like if you think about the 35% tariff rate, I think it was $875,000 per month. Which is like $10.5 million annually. And if you take that to the new rate, it's 170% incremental because you weren't paying the original tariff underlying rate and that gets to me it's around $50 million on an incremental basis for the China tariff. Just wanted to make sure that math is correct and if anything has kind of changed with the math you gave on the last earnings call as it relates to China?
Todd Garner: Yes. I think we spent 90 days. So it's a more specific product-by-product analysis now. And like I said before, the timing of when that hits, right. So the tariffs that you pay in Q1, for example and we did pay some tariffs in Q1, those will show up in the P&L in Q3. Because that expense travels with inventory. So the - so if you want to - I think it's too early just talk about 2026 and annual impact there. I haven't heard any of our peers really do that. But we gave it to you quarter-by-quarter. I told you $0.02 in Q3 and $0.12 in Q4 for the purpose of you can see that obviously, Q4 would be closer to the run rate than in Q3.
Travis Steed: Okay. Is that $0.12 in Q4, the actual run rate or is the run rate kind of higher than that? I'm not sure how much the inventory turns are helping Q4 as an offset?
Todd Garner: Yes. I mean, obviously, there'll be mitigation steps that you could do and there could also be growth. And so we're not going to get into 2026 numbers today, but that's the - that's the impact for 2025 and I think it gives you decent visibility into what the run rate would look like. And hopefully, very soon, we're not at the 145% number anymore either. But we'll see how that all plays out.
Travis Steed: Right. Okay. Thanks a lot.
Operator: Thank you. Our next question comes from the line of Mike Matson of Needham. Your line is open, Mike.
Mike Matson: Yes, thanks. I was just wondering if you could give us any sense of what you think the company's kind of growth - top line growth potential is once you get past the supply chain issues completely. I mean, I know in the past, you talked about kind of very high-single-digit organic growth driven by kind of the 30% plus of these - the four platforms you mentioned growing 20% plus maybe like low to mid-single-digit growth in the rest of the business. Looking at the slides and hearing your commentary, it sounds like maybe those four growth drivers are - you're talking about double-digits. So maybe the right way to look at that is more like 10% growth of those and low to mid-single-digits in the rest of the business. But I don't know if you can comment on that at all.
Pat Beyer: Mike, yes, good question. Again, so we've guided this year 4% to 6% and we're on track for that. I've talked about our four growth drivers that are double-digit growers and we feel good about. We are operating in big markets growing fast. So we think our markets are growing mid-high-single-digits. And so if I - as I think about this business, it's a 4% to 9% grower there on the top line. And obviously, we're looking for more growth drivers and how we can drive that harder. But I think balanced mix with four growth drivers, double-digits and the rest of the portfolio, I think 4% to 9% is in that range.
Mike Matson: Yes, okay. I mean, is the supply chain issues kind of keeping you at the lower end of the range and maybe you could get towards the higher end of that range without the supply chain issues. I don't know if you're able to quantify the impact this year at all from that. I mean, how many points of growth is that taking away?
Pat Beyer: Yes, we can't quantify it today, but I think you're right there. I mean, we want to win in our markets and we believe that's taking market share and winning is more in the 7% and 8%, 9% range, not 4%, 5% and 6%. That's what we should be doing and that's what we're driving for.
Mike Matson: Okay. Got it. And then just a question for Todd. The currency benefit that's pushing up your EPS guidance, where will that show up in the P&L? Is it in gross margin, OpEx or kind of spread between them?
Todd Garner: Yes, it is spread through the P&L, Mike, as I said, gross margin, we started a quarter ago, I said there was about 50 basis points of headwind in gross margin, that's gone down 20%. So now still headwind, but closer to 30% than 50%. And so yes, the FX impact is in both gross margin and the operating expenses.
Operator: Thank you. I would now like to turn the conference back to Pat Beyer for closing remarks. Sir?
Pat Beyer: Thank you, Latif. I want to thank everybody for joining us for your time today, and we look forward to speaking with you on our next earnings call. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.